Operator: Good morning, and welcome to The New York Times Companyâs Second Quarter 2022 Earnings Conference Call. All participants will be in listen-only mode.  After todayâs presentation, there will be an opportunity to ask questions.  Please note, this event is being recorded. I would now like to turn the conference over to Harlan Toplitzky, Vice President of Investor Relations. Please go ahead.
Harlan Toplitzky: Thank you, and welcome to The New York Times Companyâs second quarter 2022 earnings conference call. On the call today, we have Meredith Kopit Levien, President and Chief Executive Officer; and Roland Caputo, Executive Vice President and Chief Financial Officer. Before we begin, I would like to remind you that management will make forward-looking statements during the course of this call. These statements are based on our current expectations and assumptions, which may change over time. Our actual results could differ materially due to a number of risks and uncertainties that are described in the Companyâs 2021 10-K and subsequent SEC filings. In addition, our presentation will include non-GAAP financial measures and we have provided reconciliations to the most comparable GAAP measures in our earnings press release, which is available on our website at investors.nytco.com. And finally, please note that a copy of the prepared remarks from this morningâs call will be posted to our investor website shortly after we conclude. With that, I will turn the call over to Meredith Kopit Levien.
Meredith Kopit Levien: Thanks, Harlan, and good morning, everyone. In a world that is getting ever-more complex, we believe that quality journalism can play an even more valuable role in peopleâs lives. Over the course of the year, weâve introduced the next phase of our strategy to become the essential subscription for every English-speaking person seeking to understand and engage with the world. That strategy is grounded in three pillars: first, to build on our leadership in news to be the best news destination in the world; second, to be more valuable to more people by helping them make the most of their lives and passions; and third, to put those two things together in a more expansive and connected product experience or bundle that makes The Times even more indispensable to the daily lives of millions more people. We are making palpable progress in each of these areas, and have strong conviction in our path forward and ability to create shareholder value. Turning to our second quarter results, overall revenue grew more than 11%, with digital subscription revenue up nearly 26% and total advertising revenue up just over 4%. We had 180,000 net digital subscriber additions in the quarter, which represents an approximately 70% improvement over the second quarter of 2021, driven by the bundle, Games, and The Athletic. It was also a relatively strong period for subscriber engagement. There were two big success stories in the quarter: our effectiveness at getting more people to buy our all-access bundle, and the performance of our recent acquisitions. Together, they show our strategy in action. As Iâve said on the last few earnings calls and at our June Investor Day, we believe that the bundle will allow us to better penetrate our addressable market and drive more volume and higher ARPU. News remains core to our value proposition. But the bundle helps ensure that The Times is indispensable to an ever-widening group of people even as news engagement ebbs and flows. In the second quarter, we brought in the highest-ever number of new starts to the bundle, thanks to a deliberate effort to prompt more people to buy it versus News-only subscriptions. As a result, the bundle made up a majority of the quarterâs total net subscriber additions. That means weâre seeing discernible momentum on a key element of our strategy to drive revenue, profit, and shareholder value. Our experience so far is that bundle subscribers including our newest ones pay more, engage more frequently, and retain better. So our plan is to lean even more heavily into selling the bundle to new subscribers, and getting existing subscribers to upgrade in the back half of the year. We expect much of the revenue benefit from this to begin in 2023, as we follow our proven playbook of moving subscribers from introductory offers to higher prices over time. Our acquisitions also played a big role in the quarter. We had 50,000 standalone net additions to The Athletic, which is 50% higher than The Athleticâs performance in the second quarter last year, before we acquired it. Two quarters into owning The Athletic, we are even more excited about the opportunities we see, and weâre moving quickly to realize them. We added The Athletic to our all digital access bundle in June, extending access to existing bundle subscribers, and at the end of the month, print subscribers. We also began promoting The Athletic stories on Times surfaces, including our homepage, The Morning newsletter, and our social feeds. And we plan to aggressively market The Athletic as part of The Times bundle to potential new subscribers globally in the second half of the year. The quarter was also our best one yet for Games net additions, thanks to the continued success of Wordle in attracting an outsized number of new regular users. While smaller than the bundle as a percent of total net additions, Games-only starts were significantly higher than the second quarter last year. Weekly active users of Wordle have come down off of the peak as expected, but they remain high. And we have successfully capitalized on Wordle demand to drive engagement with our broader portfolio of games. For example, the number of people playing more than two games in a given week has nearly doubled quarter-over-quarter. The Times now has 9.2 million subscribers, with 10.6 million subscriptions, and we believe we are well on our way to our next mile marker of 15 million subscribers by the end of 2027. On advertising, performance for the quarter was on track for total revenue, though digital grew less than expected and print grew more. Let me set this quarterâs results and the next quarterâs guidance into a broader context. Our advertising revenue is cyclical and subject to significant fluctuations as a result of exogenous conditions. Having been in and around the ad business for a long time, I would call the patterns we are currently seeing in line with what weâd expect given the macroeconomic uncertainty. We are confident in our advertising approach, which is grounded in the market leading suite of first-party data and premium ad products that our subscription-first strategy enables. So we fully expect digital advertising to be a growth driver over the mid-term, and overall advertising to continue to be a significant contributor to the Companyâs profits. Now let me turn now to costs. Our adjusted cost growth in The New York Times Group slowed in the first and second quarters. Consistent with our plan, and as youâll see in our guidance, you can expect more meaningful improvements to cost growth in the back half of the year. And given the uncertain macroeconomic environment, weâll continue to look closely at costs, while prioritizing investment in areas that widen our moat, like journalism and digital product development. Our second quarter results and actions underscore the five-part value creation thesis we shared at Investor Day in June. Our confidence in the business is grounded in the following beliefs. First, that our high-quality portfolio of journalism and lifestyle products is our competitive advantage and the basis of our companyâs value. Second, that our product portfolio positions us to pursue a large and still growing TAM of at least 135 million people. Third, that our model itself is advantaged, with favorable unit economics, numerous levers for value creation, and multiple revenue streams. Fourth, given the scale weâve begun to achieve, we believe that our model will lead to sustained profit growth over time even as print continues to decline, and even as we continue investing to widen our moat. And finally, these things together mean that our model is and we expect will continue to be increasingly cash generative. As weâve articulated vis-Ã -vis targets, weâre aiming for 15 million subscribers by the end of 2027, which we view as a mile marker and not an end point. Weâre targeting compound annual growth in AOP of between 9% and 12% over the next three to five years, with 2022 as the base year. This is more profit growth than we achieved on a CAGR basis in the previous five years. We expect to achieve margin expansion on a consolidated basis beginning in 2023 and we expect to return free cash flow to our shareholders in a range of 25% to 50% annually over the mid-term. On that last point, in the second quarter and into the third, we continued to be active buyers of our stock. As we articulated at Investor Day, we factored headwinds into our mid-term AOP target, given the outsized role advertising plays in our profitability and its sensitivity to macroeconomic conditions. These headwinds have begun to appear, and are reflected in our second quarter results and in our forward-looking guidance. We also see potential tailwinds. Weâre encouraged by this quarterâs progress, which strengthens our belief in the power of the bundle, and our ability to translate our strategy into results. Weâre also executing well so far with The Athletic, and we have moved faster than initially anticipated in adding it to the bundle. As a result, we expect the impact of The Athletic on this yearâs consolidated profit will be less negative than we forecasted at the time of acquisition. Let me close with our full year 2022 outlook. We are reaffirming the guidance that we shared in February and again in May, that we continue to expect to grow adjusted operating profit in our core business before the impact from The Athletic, but we do not expect that growth to entirely offset the dilutive impact of The Athletic on a consolidated basis. We will see how macroeconomic trends play out and also what we can achieve on subscriber ARPU as we lean more aggressively into selling the bundle. And weâll continue to keep you apprised of our progress and trajectory as we go. I look forward to your questions. In the meantime, over to Roland.
Roland Caputo: Thank you, Meredith, and good morning. As Meredith said, our second quarter results suggest real progress against our strategic goals in the face of macroeconomic uncertainties, and we have real confidence in our path forward and ability to create shareholder value. Turning to the quarter. Adjusted diluted earnings per share was $0.24, $0.12 lower than the prior year. We reported adjusted operating profit of approximately $76 million lower than the same period in 2021 by approximately $17 million, largely as a result of the expected losses from our acquisition of The Athletic. Adjusted operating profit in the New York Times Group was approximately $89 million in the quarter, lower by approximately $4 million compared to the prior year, while The Athletic loss of approximately $12.5 million. On a consolidated basis, the company added 180,000 net new digital-only subscribers and 230,000 net new digital-only subscriptions in the quarter, with strong growth in adoption of our bundle product. The number of multiproduct subscribers, which includes bundle subscribers grew by approximately 120,000 in the quarter, driven mainly by increases to the number of bundle subscribers. As Meredith mentioned, we began giving our bundle subscribers access to The Athletic late in the second quarter, and as a result, the disclosed number of subscribers with entitlements to The Athletic grew by approximately 420,000 in addition to the approximately 50,000 stand-alone athletic net subscriber additions. I also want to reiterate that we expect there to be variability in net additions from quarter-to-quarter as a result of seasonality and other factors that may affect audience. However, we remain confident in our ability to achieve our goal of 15 million subscribers by year-end 2027. Total subscription revenues increased approximately 13% in the quarter, with digital-only subscription revenue growing approximately 25% to approximately $239 million. Digital-only subscription revenue grew as a result of the large number of new subscriptions we have added in the past year, continued strength in retention of the dollar per week promotional subscriptions who have graduated to higher prices and the inclusion of subscription revenue from The Athletic. Moving to subscriber ARPU. As a reminder, the ARPU we are reporting represents the average revenue per digital subscriber and therefore, includes all of our digital products. The ARPU commentary made prior to Q1 referred solely to the digital news product subscriptions. For the quarter, digital-only subscriber ARPU decreased 7.5% compared to the prior year and 3.3% compared to the prior quarter, both largely driven by The Athletic. Excluding the impact of The Athletic, the declines were significantly less pronounced, although the effect of new subscribers at introductory promotional prices, including a large number of new games subscribers more than offset the gains from subscribers converting to the bundle or otherwise transitioning to higher prices. Print subscription revenues declined approximately 3% as the benefit from the first quarter home delivery price increase did not fully offset lower volumes in both home delivery and single copy. Total advertising revenues increased approximately 4% in the quarter with digital advertising declining 2.4%, which was driven by a number of factors, including the impact of the challenging macroeconomic environment, a reduction in marketer spend on advertising adjacent to news coverage and supply constraints in programmatic advertising related to choices we made to drive more audience to our apps. Meanwhile, print advertising was higher by approximately 15% compared with 2021, primarily driven by growth in the live entertainment and luxury categories. Other revenues increased approximately 18% compared with the prior year to approximately $55 million primarily as a result of revenue from higher commercial printing, live events, television and film projects, Wirecutter affiliate referral revenues and licensing. Other revenues came in higher than guidance as a result of higher Wirecutter affiliate referral and television and film revenues. Adjusted operating costs were higher in the quarter by nearly 18% as compared with 2021 mainly due to the addition of costs associated with The Athletic. Adjusted operating costs were in line with the low end of our guidance. Adjusted operating costs at The New York Times Group grew approximately 10%, slightly better than our guidance. Iâll now discuss the cost drivers for The New York Times Group. Cost of revenue increased approximately 11% as a result of growth in the number of employees who work in The New York Times newsroom as well as higher subscriber servicing costs and print production and distribution costs. The increase in production and distribution costs was due to higher raw material and fuel costs and increased commercial printing activity. Sales and marketing costs increased approximately 8.5%, largely due to higher advertising sales costs, which were lower in the prior year due largely to the pandemic. Media expenses were $28 million, approximately 3% below last year. Product development costs increased approximately 18% as a result of growth in the number of digital product development employees in connection with strategic digital subscription initiatives. And general and administrative costs grew approximately 2%. We had one special item in the quarter, a $34 million gain related to an agreement to lease and then sell a four acre parcel of land adjacent to our College Point printing facility. Our effective tax rate for the second quarter was approximately 28%. As weâve said previously, we expect our rate to be approximately 27% on every dollar of marginal income we record with the possibility of some variability around the quarterly effective rate. Moving to the balance sheet. Our cash and marketable securities balance ended the quarter at approximately $453 million, a decrease of approximately $21 million compared with the first quarter of 2022, largely as a result of share repurchases and higher cash taxes. After repurchasing sufficient shares in the first quarter to offset the dilution expected from the issuance of stock-based compensation awards, opportunistic share repurchases during the second quarter totaled $25 million, and the company repurchased an additional $13 million worth of shares subsequent to the end of the quarter. Approximately $82 million remain under the companyâs repurchase authorization. Last week, the company entered into an agreement on a five-year $350 million revolving credit facility, which replaces a $250 million facility that was scheduled to expire in two years. The company remains debt free. Let me conclude with our outlook for the third quarter of 2022 on The New York Times Group, which does not include The Athletic. Comparisons are to the companyâs consolidated results for the third quarter of 2021 prior to the acquisition of The Athletic. The effect of The Athletic on our consolidated guidance has been included in the Outlook section of the earnings release that we published this morning. For The New York Times Group, total subscription revenues are expected to increase 5% to 7% compared with the third quarter of 2021, with digital-only subscription revenue expected to increase 10% to 14%. Overall advertising revenues are expected to decrease in the low to mid-single digits compared with the third quarter of 2021, with digital advertising revenues expected to decrease 4% to 8%. As a reminder, the month of September typically plays an outsized role in our third quarter advertising results. Other revenues are expected to decrease approximately 5%. Adjusted operating costs are expected to increase in the mid-single digits compared with the third quarter of 2021, with cost growth for The New York Times Group expected to slow considerably in the second half of 2022. As Meredith noted, given the uncertain macroeconomic environment, we continue to look closely at costs while strategically investing in areas that widen our moat like journalism and digital product development. As Meredith also said, we are reaffirming our full year profit guidance. We continue to expect to grow adjusted operating profit in The New York Times Group, though we do not expect that growth to entirely offset the near-term dilutive impact of The Athletic segment on a consolidated basis. With that, Iâll turn it back to Meredith for some final thoughts.
Meredith Kopit Levien: Thanks, Roland. Before we open the line for Q&A, let me just reiterate a few key takeaways. The macro headwinds we factored into our AOP targets are playing out largely as we anticipated. We slowed cost growth in Q1 and Q2 and expect that trend to continue through the remainder of the year. Weâre doing better with The Athletic than we expected, and weâre encouraged by the potential tailwinds in the business, particularly around the power of the bundle. And with that, weâd be happy to open it up for your questions.
Operator: Thank you. Weâll now begin the question-and-answer session.  Our first question comes from Douglas Arthur from Huber Research Partners. Please go ahead.
Douglas Arthur: Good morning. Roland, Iâm wondering on the breakdown of the subscription adds as opposed to subscribers. Can you give us a sense of the news-only ads in the second quarter? Itâs a little hard to figure it out from the data you gave. Thanks.
Roland Caputo: Yes. I think the best way to get to that â weâre not breaking out the subscription by product, but I think the best way to get to what youâre interested in is to look at the number of subscribers with entitlements to the news product. And you can see that the delta there, that does include both the news stand-alone and the bundled news subscriptions.
Douglas Arthur: So just â can you make any kind of gradation on second quarter momentum versus first quarter momentum for news only?
Meredith Kopit Levien: Yes. Hi, Doug. Iâll take that. I would say what youâre seeing in the quarter is our strategy in action. We are really pushing the bundle. Weâre intervening in the news flow to get people to buy the bundle instead and having real success with that. And the â so â and obviously, news is part of the bundle, but weâre incredibly focused on that at this point. Iâll say two more things, just Iâm not 100% sure what youâre getting at, but Iâll say two more things that the performance in the quarter overall was meaningfully better from a subscriber standpoint than the second quarter of last year. News starts in and of themselves were also better and it was â I think you may be asking about that, and it was a relatively strong period kind of across the board, across the portfolio for subscriber engagement. And we look closely at whatâs the percent of subscribers on site, and that was broadly in line with the same period last year. But obviously, we have â on a percentage basis, we have a larger number of subscribers. And Iâll mention one more thing, which is â we are feeling very confident about the levers we have in our hands to drive that engagement, both within news. So if you look at our home page, programming or use of e-mail newsletters, we are really focused on bringing people back to site more regularly and have a lot of confidence that there are plenty of levers there. In addition, as we continue to market and merchandise and push the bundle, we believe we have a lot of levers to get people to engage with the bundle. And the point here is that news cycle is going to ebb and flow, news engagement is going to ebb and flow. And the bundle, we believe, makes us that much more indispensable, kind of independent of the news cycle and whatever is going on in the news cycle.
Douglas Arthur: Okay. A final question. I think when you closed in The Athletic, you were talking about an adjusted operating loss in the mid to low 50s. Can you sort of give us a sense of where you are now?
Roland Caputo: Yes. So that statement referred to what we believe that the loss looked like last year. I believe our statement was we felt we would do a little bit better than that. And actually what weâre seeing now is we think weâre going to do â weâre going to definitely do a bit better than we expected. So said differently, I would not take the $12.5 million loss in Q2 and extrapolate that to get the full year loss. Weâll do a bit better than that we expect to.
Douglas Arthur: Okay, thank you.
Operator: The next question comes from Thomas Yeh from Morgan Stanley. Please go ahead.
Thomas Yeh: Thanks so much. Going off of what Doug was asking on the subscribers with news net adds, which I think increased 40,000 this quarter compared to 80,000 in the year-ago quarter sequentially despite what I figured it would have been a relatively strong news cycle. I know thereâs quarterly volatility in typical 2Q seasonality. Could you maybe just further characterize what youâre seeing from how hot or cold news cycle is in the current quarter or in 2Q? And from a churn or gross starts perspective, how that shaped out relative to prior quarters?
Meredith Kopit Levien: Yes, Iâm happy to do that. Hi, Thomas. So a couple of things. I would say the second quarter generally has, if you go back and look at history, most of the time, there are some seasonal factors at work. Iâll say two things, at least one of which I may have said in answer to Dougâs question, we actually had more news starts in the second quarter this year than we had last year. And youâre asking about churn. Iâm going to make a broad comment on churn, which is the base is larger. So even at what we believe is a very manageable churn number, you just lose more people every â the raw number is higher because of the size of the base. But we are feeling confident that our churn number is manageable. And thereâs nothing in the quarter that weâre seeing that makes us overly concerned about churn. And I think what youâre also seeing is focus on a very deliberate strategy of becoming the essential subscription with a widening value proposition, and youâre seeing us push that. Youâre seeing us push the bundle, push The Athletic, push given all of the momentum that Wordle brought, youâre seeing us shift a lot of time and attention and energy to games. Let me step back though, Thomas, and just add a couple of points on news that may be useful here. I said in my prepared remarks, it remains core to the value proposition, and I expect it will always be that. Weâre always going to see â or we â certainly, our history has been that the news cycle is going to ebb and flow. We have yet to see one without the other. And I think we have plenty of levers still to come to drive news engagement. And just one more kind of step back point on news. We do what we think weâll sort of see variability. Weâve seen it before from quarter-to-quarter, people asked us after the 2016 political cycle, are people less interested in news, and again, after COVID. And I would say, the patterns are going to â the tide goes in and out, but over a long time horizon, I think we remain very confident that news is going to be central to the value proposition and just plays a huge role here.
Thomas Yeh: Okay. Yes, thatâs very helpful, Meredith. And then second, can you give us some color on the comments that you made about the spending philosophy adapting to the macro? I mean which areas does it make sense to adjust in the near term versus other areas where it might make sense to invest through a cycle?
Meredith Kopit Levien: Yes. Great. Really good question. Let me sort of make two points, broad points to make sure Iâm giving you the whole picture. Roland and I have been talking for a while now about the idea that cost growth was going to begin to really come down in a considerable way in the back half of this year. So I want to say, setting aside the macro environment, youâre seeing that. A lot of that is about the product itself becoming an increasingly strong engine of engagement and conversion, and youâre seeing us be able to have an effect on marketing spend as a result of that. So let me say that first. And then if you add to that, the headwinds weâre seeing from advertising are playing out kind of broadly as we would expect them to. And so weâre very focused on making sure weâre kind of resilient if and as those headwinds from macroeconomic uncertainty continue. We believe the two most important areas of continued investment for the time will not be different from what youâve heard from me before, are in our journalism and in our digital product development, and we intend to continue to invest into that. Thatâs our moat. Thatâs how we kind of build our structural advantages. And at the same time, weâre looking at cost to make sure we are strategically prioritized to those things and to the highest impact work to drive our medium and long-term strategy.
Thomas Yeh: Thank you.
Operator: The next question comes from Kannan Venkateshwar from Barclays. Please go ahead.
Kannan Venkateshwar: Thank you. So Roland, I just wanted to check something on ARPU, and Iâm not sure if the math is correct because of some of the restatements. But when we look at ARPU sequentially, it looks like ARPU declined even though news â the next news numbers were a lot lower than we expected, excluding The Athletic. So if we take out The Athletics, it looks like sequentially ARPUs were down maybe low-single digits. And this implies that churn in news was potentially a lot higher. And this also goes back to the previous question around new subs. But if originations were higher than last year, but â and subs were a lot lower than last year, and ARPUs are basically having this trend, then it would imply churn is a lot higher. Could you just give us some kind of a sense around sequential churn through the year in news? I mean if thatâs gone up substantially?
Roland Caputo: Yes. So let me start, before I talk to churn, which I will, let me talk to kind of the other side of the equation, which is the starts. Thereâs a large number of games starts in the quarter driven by our acquisition of Wordle and what thatâs done to drive folks to funnel and bring them to our other games product and subscribe to games. So that might be a piece that you want to consider. The increase in â Iâm sorry, the decrease in ARPU once you take out The Athletic though, is very slight. So I think maybe the games is the missing piece there. On the churn side, we did not see any difference in churn in the quarter from previous quarters. So itâs not being driven by churn.
Meredith Kopit Levien: And Iâll just add to that, to us, the most important driver of churn is or of retention of not churning is subscriber engagement, and weâre making a point to say, subscriber engagement in the second quarter was relatively strong, and that is broadly across the portfolio and for news.
Kannan Venkateshwar: Great. Thank you.
Operator: The next question comes from Vasily Karasyov from Cannonball Research. Please go ahead.
Vasily Karasyov: Thank you. Good morning. Meredith, I think my question is for you. So in the press release, you said that and I think in your prepared remarks, you mentioned that the bundle included The Athletic starting this quarter. So in terms of engagement, can I ask you what youâre seeing with subscribers? Do you see a net addition of time spent and an increase in engagement after you do that? Because you would think that if someone was very sport â interested in sports they would already have The Athletic. So I would be curious if you could talk about what you see in terms of engagement within the bundle by different products when you introduce them to people.
Meredith Kopit Levien: Yes. And thatâs a great question. Let me say a couple of things. We put The Athletic into the bundle for all digital access subscribers and then ultimately print subscribers too, who are â who count at the â in June and for many of them at the very end of June. So I donât have good data to share yet, but you can regard the direction of travel here as we are very encouraged by what weâre seeing, Iâd say, in terms of everything about the bundle. And our general thesis about the bundle, which is that people pay more, a little bit more to start and more over time, they engage more and they retain better as kind of playing out. So thatâs why you hear us talking optimistically and in encouraging ways about the bundle. And weâll see The Athletic is going to play a big role in that bundle in the back half of the year. And so Iâll likely have more color to add once itâs doing that. But let me say, I think youâre asking kind of a more important broad question about can we get people to engage across the portfolio of products when they buy the bundle. And what Iâll say is thatâs a huge area of focus, we talked about this a lot at Investor Day. We have a lot of levers to do it. Itâs quite important that we do it and weâre very encouraged by what weâve seen in kind of the first half of this year with our ability to do that. And there are two things Iâll point to. Weâre doing I think much better work with still more to come on getting people who buy the bundle to onboard and sort of experience multiple products. I think thatâs at the root of your question. And then youâre going to see more of games, in particular, playing a role in the overall experience. Youâre going to see us start to connect the products in a better way. And I think â so I think thereâs real running room there to do that even further. I think Iâm getting at what youâre asking about, but please feel free to ask again, if not.
Vasily Karasyov: No, this is it. Thank you.
Operator: The next question comes from Craig Huber from Huber Research Partners. Please go ahead.
Craig Huber: Yes. Good morning. A question on cost. Let me start there. Just give us a little more details, if you would, about your cost outlook for later this year, where specifically youâre cutting back on, where youâre investing heavily? And  spending on media, you talked about being down, the second quarter. If you take out The Athletic, how should we expect the median cost to do in the second half of the year? And then I have a follow-up. Thank you.
Roland Caputo: Yes, I can start, and Meredith, you can jump in.
Meredith Kopit Levien: Yes.
Roland Caputo: But the big difference is going to be in our marketing spend, in our media spend. And I think youâll see the decrease in that year-over-year spend show up. The vast majority of it showing up there. We donât expect to slow cost growth in journalism or in our engineering. So again, I think where thatâs going to show up when you look at our lines of expenses, most of that is going to manifest itself in the sales and marketing line. We donât think itâs time to pull back on investment in areas that we believe makes sense for the long-term that are going to expand our moat versus the competition. And so we donât plan to do that in this cycle given the â even given the economic uncertainty.
Meredith Kopit Levien: Thatâs right. And Iâm just going to add a beat because I think itâs important to say that set aside the market uncertainty, it has long been our plan, and youâve heard Roland and I talk about this to get the product itself to do more of the work to engage and convert. And we talked about that a lot at Investor Day, all the levers we have within each individual product in the portfolio and across the bundle. And so that has sort of been part of the plan, and thatâs why weâve said we expect marketing costs to begin to come down this year.
Craig Huber: And also, Meredith, maybe can you talk a little bit further about engagement, what you maybe saw in the second quarter, putting aside The Athletic, engagement in terms of maybe number of minutes spent using, say the news-only product versus a year ago? How is it sort of trending for you right now?
Meredith Kopit Levien: Yes. Good question. We donât share anything about number of minutes spent. What I will say is that broadly, we put it in our prepared remarks that it was a relatively strong period for subscriber engagement and broadly the percent of subscribers on site in the second quarter this year was consistent year-on-year with the same period last year. And obviously, we have more subscribers now. So thatâs â we think thatâs a very good thing. Weâre very, very focused on that number. And Iâll add to it, not to repeat too much of what I said before. Weâve talked for a long time about kind of which levers we have in our hands to drive engagement, and Iâll just say our work there, our experiments, our testing and learning there is really working. And Iâll point to two things. We are getting better, taking a long time, but we are getting better at a more customized, personalized homepage experience, so weâre getting better at sort of knowing what to put in front of you. Obviously, a lot of it is still dictated by judgment. But weâre getting better at reflecting an important story you might have missed or where you are in the world, and therefore, what you should see. And that plays a real role in engagement. And then the other thing Iâll mention which we did not talk a lot â we didnât talk at all about in the prepared remarks, but itâs really a successful product intervention. We have a lot of newsletters now. We have a big portfolio of newsletters, some of which are subscriber only. By the way, that is going very well as a mechanism to help people engage and retain. But we also have newsletters that we can spin up based on something going on in the news. So we have something called the updates from the newsroom, which will send when something happens sort of in the moment. And weâre seeing real progress on being able to bring people back to site or bring them back into a Times experience with the content.
Craig Huber: Great. Thank you.
Operator: The next question comes from David Karnovsky from J.P. Morgan. Please go ahead.
David Karnovsky: Hi, thank you. Meredith, just on advertising, I wanted to see if you could provide some additional color on what youâre seeing right now, which I think you said is kind of in line with what youâd expect for this type of environment. Was there an observed kind of decel through the quarter at all, maybe for certain verticals? And then what products or data can you offer marketers to help keep them engaged with the platform even with the economic risk? Thanks.
Meredith Kopit Levien: All good questions. I would say the headwinds are broadly playing out in advertising as we expected they would. So nothing is surprising us here. And weâve kind of factored that into much of what weâve been saying to the market. You asked about kind of are we seeing it in particular categories. The nice thing about Times as we work across a lot of categories and we have a very varied product set, but we are in fact seeing more pressure in some categories. So in digital advertising, we saw real pressure on tech and streaming and finance, which I think you would expect given the macroeconomic uncertainty. And on the flip side, we have categories that can over present in print, luxury is a very big one. And entertainment is another one. And those continue to be brisk. So this is the moment where we really appreciate having not just a variety of digital products, but kind of a whole portfolio of products. And I think Roland mentioned in his prepared remarks, you see a little bit of pullback sometimes depending on the news cycle. I have been around the ad business a long time. There are occasions where advertisers say Iâm less interested in being adjacent to news, and we saw a bit of that. That feels very cyclical to me, and this is another place where weâre very happy to have a wide product set with advertising opportunities across â really across a breadth of kinds of content. The last thing Iâll say is that our â I think youâre asking me about whatâs working? Our first-party data products and our premium ad canvases that perform really well with those first-party data products are continue to be strong performers in a market where advertisers want to be in privacy-forward environments and in premium environments. And then the last thing Iâll say, it is early days, but we are very excited about the opportunity with The Athletic. Itâs â weâre â even the conversations weâre able to have around it just put us in different categories, different kinds of advertisers or even like some of the same advertisers but who are going after different kinds of people, and weâre really optimistic that over the medium, long-term, thatâs going to be a real growth driver.
David Karnovsky: Great. Thanks a lot.
Operator: This concludes our question-and-answer session. Iâd like to turn the conference back over to Harlan Toplitzky for any closing remarks.
Harlan Toplitzky: Thank you for joining us this morning. We look forward to talking to you again next quarter.
Operator: The conference has now concluded. Thank you for attending todayâs presentation. You may now disconnect.